Operator: Good day, ladies and gentlemen and welcome to the Q3 2014 NGL Energy Partners LP Earnings Conference Call. My name is Whitley and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Mike Krimbill, CEO of NGL Energy Partners. Please proceed.
Mike Krimbill: Thank you. Welcome to the call. I would like to read my usual opening paragraph. This conference call will include some forward-looking statements and information, while NGL Energy Partners believe that its expectations are based on reasonable assumptions, there can be no assurance that such expectations will prove to be correct. A number of factors could cause actual results to differ materially from the projections, anticipated results or other expectations included in the forward-looking statements. These factors include the prices and market demand for natural gas liquids and crude oil, level of production of crude oil and natural gas, the effect of weather conditions on demand for oil, natural gas, natural gas liquids and the ability to successfully identify and consummate strategic acquisitions at purchase prices that are accretive to financial results and to successfully integrate acquired assets and businesses. Other factors that could impact any forward-looking statements are described in risk factors in the partnership’s annual report on Form 10-K, quarterly reports on Form 10-Q and other public filings and press releases. NGL Energy Partners LP undertakes no obligation to publicly update or revise any forward-looking statements as a result of new information, future events or otherwise. Please also see the partnership’s website at www.nglenergypartners.com under Investor Relations for reconciliation of the differences between any non-GAAP measures discussed on this conference call and the most directly comparable GAAP financial measures. Thank you. Today, we have got several execs on the phone. Atanas Atanasov is with us as well as several of our operating execs, David Kehoe, Jim Burke and Jim Winter. So with that, why don’t we get started with our prepared remarks and then we can get to questions as quickly as possible.
Atanas Atanasov: Thank you, Mike. Good afternoon everyone. Adjusted EBITDA for the current quarter – for the quarter ended December 31, ‘13 is $85 million, which excludes one-time acquisition cost of about approximately $5 million. This compares to an EBITDA of $74 million for the same period last fiscal year, which represents an increase of 15% year-over-year. Our guidance for the quarter was $89 million, so we are approximately $4 million lower. NGL reported net income for the quarter ended 12/31/13 of $24.1 million compared to net income of $40.5 million for the same period last year. The primary driver for the difference in net income is attributable to approximately $16 million to $17 million of additional depreciation and amortization attributable to the acquisitions we completed during the fiscal year. We started fiscal ‘14 with EBITDA guidance in the range of $230 million, $235 million. Upon closing two acquisitions in early July, one in crude logistics and the other in water solutions, we increased our guidance by $10 million to $240 million, $245 million. And after completing our water acquisition in the Eagle Ford in early August, we increased our guidance to $255 million, $260 million EBITDA. During last quarter’s earnings call, we indicated that we are targeting to finish fiscal ‘14 in the range of $260 million to $270 million of EBITDA. Given the lower than expected results in our crude logistics segment this past quarter, we are targeting to end the fiscal year ‘14 in the range of $255 million to $260 million. At the beginning of the fiscal year, we indicated that our expectation with respect to maintenance CapEx was around $22 million. And later in the fiscal year, we increased that number to the range of $25 million to $28 million in view of the acquisitions that we completed during the summer months and now we believe that will be closer to $29 million for fiscal ‘14. During the fourth quarter of fiscal ‘14, we expect to generate EBITDA in the range of $100 million to $105 million. So this is our guidance for the quarter ended 03/31/14, $15 million of which would be attributable to the Gavilon acquisition. This would put our EBITDA for fiscal ‘14 in the range of $255 million to $260 million. Until within that number, $20 million would be attributable to Gavilon, which puts our legacy business down $20 million versus public guidance. We expect to generate approximately $173 million to $178 million of distributable cash flow, which based on interest expense of $53 million and maintenance CapEx of $29 million. As most of you are aware, in October, we launched our first high yield notes offering raising $450 million. In November, we upsized our credit facility from $1 billion to $1.7 billion while significantly reducing interest expense and extending maturity to the end of 2018. In December, we sold $240 million of common units in a private placement used to pre-fund the Gavilon transaction. And on December 2, we closed the acquisition of Gavilon Energy for $890 million, which brings us to our guidance for fiscal ‘15. So for 2015 fiscal, we expect to generate EBITDA in the range of $425 million to $430 million, and that’s exclusive of any future internal growth. So, within that number, $425 million to $430 million, approximately $120 million of that will be attributable to Gavilon Energy. We expect maintenance CapEx and interest expense to be $38 million and $72 million respectively and generate discounted cash flows in the range of – distributable cash flows in the range of $315 million to $320 million. So we expect to maintain distribution growth of 15% over the next four quarters. Our previous guidance for those four quarters was 10%. So we are increasing our distribution guidance while maintaining distribution coverage of approximately 1.5 times, so very healthy and robust distribution coverage. And with this, I will hand it off to Mike.
Mike Krimbill: Thanks Atanas. On the CapEx side for 2015, which obviously starts April 1, 2014 due to the businesses we have purchased and merged with, we obviously are going to have more and more internal growth projects come about. So for 2015, we are looking at $300 million of internal growth and that’s really across all of our segments, all our businesses. And then for acquisition CapEx, it’s I hate to use history, because then those numbers get too big, but assume $200 million to $300 million. So we probably we expect to be pretty comfortably in the $500 million to $600 million range again for fiscal 2015. So with that, why don’t we open it up for questions? Operator, can we open up for questions.
Operator: (Operator Instructions) Your first question comes from the line of Shneur Gershuni, UBS. Please proceed.
Shneur Gershuni – UBS: Just wanted to ask two questions if you don’t mind. I just wanted to start with the crude oil logistics business. I just wondered if you can expand on the process for the evergreening of historical contracts, spreads have moved around a lot since you last reported. How should we think about kind of the lagged impact as we see spreads move as to when it will actually manifest itself in the earnings? Is it something that shows up in this upcoming quarter or is it the next quarter and so forth? I was wondering if you can sort of expand on that a little bit.
Mike Krimbill: Definitely. And David Kehoe who runs crude is on the line. So he can give you some – I think good answers. Go ahead, David.
David Kehoe: I wish I give you a one size fits all answer and I can’t in this particular instance, it’s considerable lag. Theoretically a 30 day evergreen you have to live with 60 days and then you have renegotiated. When you are dealing more with railcars, long movements across different basins as we were with this last spread there is a longer timeframe associated with it and it gets pretty lumpy. So we saw certainly a very brunt out case this time and the full brunt of it in the third quarter. And it was aggravated with the fact that the competitors in the rail space certainly was very competitive let’s put it that way. And in a normalized market I would say that your lag time was 120 days, but certainly this time it extended out closer to 180 days.
Shneur Gershuni – UBS: Okay. And as a follow-up question we have had exceptionally cold winter, we have seen a massive spike in propane prices and so forth. I was wondering if you can sort of comment on how you think margins in the propane business is going to be impacted for the upcoming quarter. And also whether you can opine on whether it should result in another better than typical quarter for the NGL logistics business as a result as well?
Mike Krimbill: On the – this is Mike, on the retail side what happens with the some of these prices and in the wet barrel market towards the end of January grew $253 a barrel and that’s at the hub, you add to it and all of a sudden you got a $4 price to the customer. And so we on the one hand you said okay well what’s the customer going to do, who they are going go to, no one else or the people have a limited amount of propane. But the reality is we probably impose some margin pressure on ourselves, so we don’t lose the customer next summer. And we are fair to the customers. We don’t want to turn cold winter into a large bad debt expense in the summer. And so we worked with the customers to get on a budget pay and make sure that they can get their head above water. So there is – we are happy to hit our margins and we think we will be on target for hitting our margins and so the upside which we expect is on the volume side. And in this cold weather what you try to do is not have to short fill customers. And we have been able to continue delivering the most cost efficient delivery amount which allows you to maintain your margins and not seem degraded because of your not so much your competitors lowering price, but your own expenses exceeding what you normally would do. So if I answer retail is probably on for margins and over on volumes. The industry as a whole I don’t expect that. On the NGL liquids side as what happens is you go into the winter with your lower costs from your summer purchases and then when you get into market like January we are getting ratable barrels every day. So at the end of January we are having to take ratable barrels at costs $2 to $3, so our average on weighed COG as we call but our weighted average costs will be higher going into February. So what all that says is we harvest some of that NGL liquids EBITDA early which we did in October, November, December and then January, February, March and particularly in January with these higher costs we will probably give back some of that. We factor that into the numbers that we have given you for the year.
Shneur Gershuni – UBS: Great. Thank you very much.
Operator: Your next question comes from the line of Gabe Moreen with Bank of America. Please proceed.
Gabe Moreen – Bank of America: Good afternoon everyone. Questions in terms of $300 million CapEx program laid out, I was wondering if you can go a little more detail in terms of which projects and which segments you are going to be spending that money on. And also I guess the guidance for ‘15 sounds like it doesn’t incorporate any of those growth capital expenditures which I was wondering if in fact we will see contributions and I guess when from that CapEx?
Mike Krimbill: Yes, great question it’s about $130 million on the water side, about $130 million on the crude side and crude does include Gavilon obviously and then about $50 million on the liquids side. And those were all again internal growth projects at three to five multiples. What we have seen and its – and it kind of started last year is you normally like to think you spend money in year one you get things completed kind of pro rata, so you get half your EBITDA, one year, half the next. But we are seeing longer timelines to get projects completed. So we guided – I wouldn’t say we are going to get half of that this year I would say we would probably get 25% of that of the EBITDA $300 million. If you took $300 million and divided by five was $60 million, we got a quarter of that in’15 and the rest of it in ‘16 that’s probably a fair assumption. And then what we spend in ‘14 we will get some of that in ‘15, some of our projects in ‘14 we are getting just completed in December, January so we are not getting much if any impact from on this year. We will get some of that in ‘15.
Gabe Moreen – Bank of America: Got it, that’s helpful. Thanks Mike. Hate to ask a generic question, but I will since you guys have been so busy on the M&A front just wondering kind of what you are seeing out there right now and I guess which of your segments I guess the most opportunity and appetite for?
Mike Krimbill: Retail we see the small mom and pops from quarter-to-quarter. We will buy one or two and they are so small we just don’t even – we don’t say anything so that’s all – there is always little something there. On liquids we did the Keyera transaction which was smaller ones less than $10 million. We don’t see a lot of purchasing there or acquisition. We do see some internal growth. Water, we purchased quite a bit, we have established ourselves in four basins and here lately in the Permian and the Eagle Ford which are great. We see a lot of water increasing water and generate so instead of buying we are in a drilling or internal growth mode. So we are drilling quite a few wells. I am going to say we are between what we are doing in our development partner nearly ten wells are being drilled in three basins DJ, Permian and the Eagle Ford. So the water is going to be I would say almost all internal growth. One issue we have with purchases if you are buying something that well has been out there five, six, seven years. You really don’t know how extent taking care of what the performance is going to be. So we would much rather drill our own from this point forward. Now to enter a new basin yes we are probably going to have to buy something and establish a small footprint. But at this point we don’t have any of those in the pipeline. And then crude, very excited about we had a couple of projects that came with Gavilon terminals that were going to be completing towards probably third and fourth quarter of this year. And then of course Glass Mountain is starting up so we are real excited about that. I don’t know if you gave you complete answer or not but if not ask another question.
Gabe Moreen – Bank of America: Okay, well as long as you are prompting me. Last one for me I promise which is language in the Q around some of the dynamics for crude oil in this quarter I think it referenced some competition from pipeline as well as renegotiating some existing contracts in a lower spread environment. I guess I am just trying to wonder how much of that is sort of temporary versus longer term but it also sounds like that dynamic is not impacting Gavilon given what your guidance was for Gavilon through 2015?
Mike Krimbill: Yes, correct. And then Gabe maybe I will start in Gavilon doesn’t hold any trucks like we do and they use third party common carriers. And so to David’s point when you give notice and you are kind of stuck with these spreads coming in and not making money you are making lower margins I mean we did have positive margin, but you are idling your railcars, trucks and some barges and there were some pipelines completed in South Texas that took some of our South Texas volume away. So those are recovering and David you might speak to where we are in railcars, trucks, barges etcetera.
David Kehoe: Sure. So the answer to that question is first off, the second half of it pre the acquisition of Gavilon they’ve had their issues to deal with around it as well. So to Mike’s point the legacy NGL crude oil business is recovering, we’re back in a call it a normalized market, all of our railcars are back at work at better margins than were available in the third quarter. And it actually worked well with the Gavilon barrels because of our emphasis on logistical assets, their historical emphasis on using third-party assets. So marrying those together as we indicated in the call after the acquisition is helpful to both sides. So we see the business being more normalized certainly recovering, volumes were coming back up and the Gavilon business complements our asset footprint.
Gabe Moreen – Bank of America: Great. Thanks very much guys.
Operator: Your next question comes from the line of Darren Horowitz, Raymond James. Please proceed.
Darren Horowitz – Raymond James: Good afternoon, Mike.
Mike Krimbill: Hello.
Darren Horowitz – Raymond James: Couple of questions from me around some of the specific $130 million of CapEx that you guys are going to allocate towards that crude oil side. Just thinking about Gavilon, I think the previous target was around $65 million and I’m just wondering as you guys consider the supply, marketing and logistics business and then kind of overlay that with what’s happening with this current crude oil grade quality dislocation across lower 48. Has there been any change in the allocation of capital between let’s just say crude rail terminal connections versus maybe more build out a pipe and storage or kind of how you think about levering that existing system?
Mike Krimbill: Dave, you want to give it a shot first?
David Kehoe: I can’t – trying to think of how to best answer that, not sure I’m going to pick the right thing that was embedded in that. With respect to the Gavilon project we’re completing those are very much around how to take advantage of if you will this dislocation in some of the different grade qualities. Gavilon was well positioned from a grade standpoint not only with the Cushing terminal assets, but also including the terminals that are under construction. So it’s less around massive pipe projects and more around how to connect the different qualities of crudes at a hub. So I think the – just of the answers that we like the rail, the blend, the hub terminal type assets and those are the projects on the table today, those are the type of projects on the table today were not long-haul pipelines, were not really what we’re focused on. Does that answer your question?
Darren Horowitz – Raymond James: Yes, that’s part of it. I’m just wondering also if you think about the current slate of projects they were out there, I think you guys had expansion capacity for an incremental 3 million barrels of Cushing, but it would seem like there is a greater value on some of this stuff you could do around the Gulf Coast and I know that I guess there was aggregate capacity of about 650,000 barrels there but maybe a bit more pending. So it would just seem if you look at the proximity of the Eagle Ford and all the incremental West Texas barrels hitting that Gulf Coast market maybe you’ve got more supply and logistics or asset optimization opportunity driving more capital towards the Gulf Coast and then levering the truck and rail and barge distribution network a bit further to get those barrels of those physical products downstream. So I’m just kind of thinking about how this business not just in fiscal 2015 but in the 2016 how this evolves and how we should think about your capital commitment there?
David Kehoe: Right. Well so the capital commitment is I mean let’s put it this way, you’re talking from our play book. So that is the focus in the area we’re moving.
Darren Horowitz – Raymond James: Okay. And then...
David Kehoe: Around additional Cushing storage.
Darren Horowitz – Raymond James: Okay. And then last question from me Mike, I’m just curious and you’ve outlined the step function of that Gavilon acquisition moving from 7.5 times EBITDA down to below seven times and I don’t think that any synergies were baked into that $120 million fiscal 2015 EBITDA forecast. So now that you guys have had a little bit more time just thinking about it. Can you quantify the synergies not just the magnitude but maybe the timing as to when you realize them?
Mike Krimbill: Sure. We have identified synergies. As you know there is a transition service agreement between ourselves and the Marubeni folks here are kind enough to help us with our accounting and IT actually all the way through the end of 2014 if we so chose. So there are some expenses to be eliminated there as we integrate. We’ve seen some other ones, I’ll give you a number I mean we feel pretty comfortable at $5 million and then we’ll see if we can do more than that. Now that’s only expenses, there is nothing to do with synergies of operations, David touched on that.
Darren Horowitz – Raymond James: Okay.
Mike Krimbill: So you’re right. The $120 million is – that was kind of our base number and doesn’t include the growth projects that we’re investing in as well as in the synergies.
Darren Horowitz – Raymond James: Thank you.
Operator: Your next question comes from the line of Ted Durbin with Goldman Sachs. Please proceed.
Ted Durbin – Goldman Sachs: Thanks. I’m just wondering if you can give us a little more detail on in the guidance what kind of margins you’re expecting particularly in the NGL logistics business I guess they’re expecting some of these blowout spreads to continue through the rest of the year given we’ve got low propane inventories or what not or you’re expecting more normalized numbers there? And then again on the crude logistic side do we have a recovery than in margins off of what looks like was a low third quarter?
Mike Krimbill: Yes, I’ll start on the liquid side, NGL logistics. We’re not going to – we don’t think we’re going to see a repeat of January’s blowouts, we’re seeing the weather maps are warming up here considerably in the second half of February not only in the kind of Southwest and the South. But I think in the 10 to 15 day maps it’s actually warmer than normal in the Northeast. So that’s a very good thing. We’re – I think a lot of whether it’s a processing plant or the crude oil production getting slowdown because it is so cold we need to (thaw) out the assets and get some roads clear. So we don’t see the profitability and obviously our fourth quarter first calendar anywhere near what it was in the third quarter. So if it’s on budget I mean if it’s kind of on target we’re happy and anytime folks are running out of propane and politicians are involved that’s a good thing. So we also like to see the warm up for that as well. On the crude side David margins.
David Kehoe: Well we’re back in a period of more normalized margins and Mike, Atanas I mean we have some internal numbers. But I think what we’re seeing is just a more of a traditional margin if you will, you don’t have the wide basin differentials. So we’re back in a normalized margin, but the good part of that is that the volumes are turning up, so it will be more volume and lower margins than what we’ve seen during that period where we had the wide basin spreads so just back to a more normalized gathering margin.
Mike Krimbill: (indiscernible).
Ted Durbin – Goldman Sachs: Got it. So more normalized on both sides in 2015, fiscal 2015, that’s great. I guess my other question was on the balance sheet and kind of how you’re managing some of the issues here with obviously high propane prices you’re going to be having to drop more on the revolver is it make you want to sell inventory maybe a little quicker just to manage some of the balance sheet issues with the high commodity prices you’ve got right now?
Mike Krimbill: It’s – we typically are in decline on our inventory and working capital usage from January through March. So part of what we – the large part of our (indiscernible) capital are pre-sold gallons that we store at the hubs. And of course with this high propane price there has been quite a demand for folks to get there propane out of storage. So we’re actually in that decline phase even though the price has gone up the volumes are just dramatically lower. So no we’re not seeing any greater usage on our working capital line, it’s actually declining.
David Kehoe: Yes, it should be declining through the end of this spring.
Mike Krimbill: Yes.
Ted Durbin – Goldman Sachs: Yes. And then sorry if I could ask one other one just...
Mike Krimbill: Yes.
Ted Durbin – Goldman Sachs: The industry sort of talking a lot about some of the maybe changes in the specification of the railcars and what not, any kind of change that you would see in terms of the lease rates that you would be out there with, I don’t know if you can talk to the types of cars that you are leasing in there and any change you might see there?
Mike Krimbill: Sure. David?
David Kehoe: Well, first off, we think that change is going to be slow and coming. There is a lot more behind that than what’s just hitting the headlines. Our fleet is positioned well ahead of the industry in terms of the new cars. So with the schedule that we have and the roll off along with the new cars that we own, we are very well-positioned if the marketplace moves to the new cars in a hurry. I have the number if you can call me or shoot me an e-mail after this call, I will pull up the exact percentages, but the percentage of our fleet that’s at the upgraded cars is pretty significant compared to the industry, but we are prepared for it. We have cars in variety of different services and we have a very staggered set of leases along with the base number of cars that we own that are under the new standards. So we are not anticipating any issues around our cars and if there were different standards mandated in a very near-term future, we would actually I think stand to benefit from it.
Ted Durbin – Goldman Sachs: Got it. Okay, guys great. I appreciate it. That’s all from me.
Operator: Your next question comes from the line of Matt Niblack with HITE. Please proceed.
Matt Niblack – HITE: Thank you. First set of questions on crude logistics business, so not to harp on this too much, but we just like to better understand first of all the characteristics of this more competitive environment apart from the new pipelines, which should have peaked during the quarter and have since receded. I don’t understand what exactly changed in the third quarter and what’s changed now and to what extent we have confidence that we won’t have another third quarter like event next year?
Mike Krimbill: Sure. I will start that one, what happened wasn’t the characteristics of really new competition, it was just what happens on spreads collapse. And so now they are already collapsed, so that they are not going to collapse anymore. But then those characteristics, David, when spreads collapse, we have to renegotiate your contracts.
David Kehoe: Right. And my comment around the competition was probably more directed in, sorry for the lack of clarity around it, for example, you had a tremendous amount of volume moving by railcar, a change in that spread which make railcars uneconomic. We were a little surprised that the willingness of some of our competitors to run those railcars had a loss, if you will, expecting that spread to come back. So it made the renegotiation with our producers on the pricing more drawn out and much more difficult. That’s really more where the conversation around the competition comes from. There is quite a few new entries into the crude marketing and crude logistics business. And so there was a lot of business that we felt would have come back sooner. However, people were willing to do that at a negative margin and we weren’t – we have simply parked the cars.
Matt Niblack – HITE: Okay. So it sounds like despite this new competition, you have since adapted and have been able to get back to normalized margins or are at least on your way back there already suggesting that you have a good ability to adapt to the increasing level of competition in the marketplace?
David Kehoe: That’s correct. And we think there was a big part of that, because again with the rail being a relatively new phenomenon and people with railcars not having probably the deeper understanding at least that’s what we tell ourselves, they operated at a different level for a while. So we have put the cars back to work. We put them back to work in our historical margins. We have got the car cost and that type of thing taking care of them and our volumes are moving back up, so…
Matt Niblack – HITE: So even in a reduced spread environment, once you are over the hump of that initial collapse in spreads, you are able to turn into a good business again?
David Kehoe: That’s correct. I mean, at the end of the day, the barrels still have to move. And we are in the logistics business and they are going to get from point A to point B. It’s a question of what is the margin or the return that you derive on our logistics assets for providing that service. And so we just saw massive compression of that and we are back on track with it.
Matt Niblack – HITE: And do you find that versus some of the perhaps newer competitors that your experience in delivering the logistics services is a value to be the producers, that and the extensiveness of your sort of asset light network? Doesn’t mean that they are looking to that you are able to say hey, look there is new upstarts too, we know this business. We can get you the best netbacks where we can guarantee the most reliable service and you should go with that. I mean, is that compelling to producers or it is really just a commoditized business?
David Kehoe: No, it’s definitely compelling to producers and there have been instances where we have gotten the business back because of the inability of others who had call it lower prices, but didn’t have the level of service or the level of commitment. So that comes around. We have got a lot of new producers in the business too. So again, if you are a producer, you are trying to increase your netback obviously, so…
Matt Niblack – HITE: Great. And then over to the NGL Logistics business, it looks like volumes were down sequentially for non-propane NGLs, if I read the release correctly, is that seasonality or did propane volumes sort of squeeze out the other NGLs on your network? The overall segment was terrific, because we are trying to understand what’s going on with the ex-propane?
Mike Krimbill: We are looking that up. All of our – all our liquids businesses, which is both the wholesale supply, but also the butane business were above expectations.
Matt Niblack – HITE: Okay. So the sequential decline was probably the seasonality then?
Mike Krimbill: I am just looking here trying to think if we added anything. (Indiscernible) trying to find this decline.
Atanas Atanasov: Yes. We are actually up year-over-year on other NGLs, which is primarily our butane business with Centennial.
Mike Krimbill: Yes, what are you looking at?
Matt Niblack – HITE: I was looking at the quarter-over like the sequential quarter volumes maybe I had the wrong baseline number. Are you saying that sequentially they grew?
Mike Krimbill: Yes. We are looking at Page 48 of the Q, quarter-to-quarter did we have – it looks like we were at this year 207.
Atanas Atanasov: Yes.
Mike Krimbill: Versus 161.
Matt Niblack – HITE: Right. In the year ago and I was saying versus 2-Q?
Atanas Atanasov: Yes, yes. You would have some seasonal….
Matt Niblack – HITE: Absolutely.
Mike Krimbill: Absolutely seasonal, yes.
Matt Niblack – HITE: Okay.
Mike Krimbill: Yes, that’s all it is, because year-to-date, we are well above the prior year’s.
Matt Niblack – HITE: Below the prior year and above your expectation?
Mike Krimbill: Yes.
Matt Niblack – HITE: Okay, wonderful. And then just lastly the water logistics business hasn’t gotten a lot of attention on this call and it looks like you are making great progress there? Could you maybe speak to your ability to generate a network effect or economy of scale and start to get at a pricing power or preferred service provider status with producers based on the scale that you are building in some of your operating areas?
Mike Krimbill: And that’s lot of questions. Yes, we are I think in the DJ in particular, we have gotten and we have been there longer of course than the Permian or the Eagle Ford. I believe we are the preferred provider and in fact, we have I think Jim Winter is on the line, who runs our water business and maybe he can give you a flavor. Jim, you on still?
Jim Winter: Yes, I am Mike. Mike hit the nail right on the head, the DJ is a prime example preferred provider status we have attempted there and in our other locations and other basins to build facilities that are environmentally sound and welcoming to our customer base. As such, we have been able to establish a very good competitive position in the DJ and with our acquisitions and our upcoming organic growth in the Eagle Ford. We already have coverage across the entire basin there and we’ll be supplementing that coverage by with a number of organic projects over the course of fiscal 2015. Permian basin, I would not put us as a provider there as of yet, but we will be making headwind in that direction over the course of this through strategic locations where we’ll be adding facilities and then one thing we really don’t talk about a whole lot is our Green River basin, Southwest Wyoming operations. We are – I would call us definitely preferred provider there and we got obviously deliver pay contracts. We have pipeline connections into our facilities, so we’re trying to build a top notch facility wherever build and to make it a white glove service operation for our customer base.
Matt Niblack – HITE: Great. One of the things I think the market doesn’t appreciate as much as it could is the great record you have maintaining margins in the water business given some concerns some might have without the competitiveness. So congratulations on the good work thus far and we look forward to continuing to ask the story.
Mike Krimbill: Thanks.
Operator: Your next question comes from the line of Michael Gaiden, Robert W. Baird. Please proceed.
Michael Gaiden – Robert W. Baird: Hi good afternoon. Dovetailing with the prior line of discussion about water, Jim or Mike could you talk about the levels of competition in the various basins in which you operate and how you would expect that to trend from here as we enter calendar 2014?
Mike Krimbill: Yes, I mean, I’ll start. There is always competition as you know, we are out there trying to cut our costs and be the most efficient provider out there. We have more of our producers contracted up in the DJ and the Anticline than we in the Permian and Eagle Ford. With that Jim I’ll turn it over to you.
Jim Burke: Like again I think we are fairly differentiated I think we are fairly differentiated in the DJ and at our Anticline facility just by the nature of our position in those basins where we see the likelihood of increased competition more would be in the Permian and the Eagle Ford. And what we are doing kind of goes back to my last answer in terms of the quality of the facilities and the quality of the service that we’re providing, we’re also trying to achieve a competitive advantage through economies of scale. We are very focused on developing facilities that can handle, single facilities that can handle greater volumes. And so doing we are able to spread our fixed cost across the greater volume of profit producing. And we’ve also made our focus on two other important items, one being pipeline connections, which endears the customers to us a bit more and the other being our capability of providing recycled water. And it’s not just filtered water, it’s water that we fully assess in our R&D facility and we’ve been successful in coming up with processes that turnout recycled water that are compatible with the variable frac chemistries that the different frac providers are going out these days. So we have to be light on our feet for what we’re doing everything we can to differentiate ourselves from just the everyday guys and to create competitive advantages and barriers to entry that only we can develop.
Michael Gaiden – Robert W. Baird: Great, thanks. And lastly, along that line, Jim could you offer any color on what you know maybe by order magnitude what kind of pipe volumes if any you currently received in the water assets and what that might look like at this time in 2015?
Mike Krimbill: Sure. Current volumes would be in the probably about the – between 12,000 barrels and 15,000 barrels a day and throughout 2015 we do have a pipeline project in the DJ that is nearing completion that we’ll ramp up. Initial volumes we anticipate between 3 and 5 and ultimate volumes there as high as potentially 18 a day. That will take several years to ramp up. I would assume 2 to 3 years before we start seeing those peak volumes. And thankfully we’re in basins we have long-term developmental horizon. So, we are looking at since our new deal in the DJ runs all the way through primary terms run at the end of 218. So we are tying those to long term contracts with commitments that are included. So we are trying to make it as fee based as we possibly can.
Michael Gaiden – Robert W. Baird: Great, thanks a lot, Jim. And Mike and Atanas, you were kind enough to breakout your expectations for Gavilon’s EBITDA contribution next year. Is there any way that I could ask for color on Gavilon’s contribution in the calendar fourth quarter that was just completed. And what do you expect for the next fiscal quarter?
Mike Krimbill: Yes, for the current quarter Gavilon contributed approximately $4 million and for mixed fiscal through a fiscal quarter that’s going to end on 03/31/ 2014 we expect approximately $15 million, so $19 million to $20 million for the full fiscal 2014.
Michael Gaiden – Robert W. Baird: Great, thanks. Then I’ll lastly ask Mike, I think when we last heard from you in November you had indicated that may be NGL needed some breathing room to digest all the acquisitions over the prior six months or so, may be before reengaging aggressively in the acquisition market. Is that still the case, it sounds like there is a good bit of progress being made on these integrations. Should we expect may be some quietude in the near-term before things ramp up and your thoughts there appreciated? And that’s it for me.
Mike Krimbill: Sure. A couple of things, one is good quarter back always takes its linemen out for dinner to make sure he gets protected. So I think I am going to have to take all the accounting and IT people out for a party at some point because we definitely are taking our time whether it’s going to be six months whatever at least to integrate the accounting assistants and the business. And I don’t know what is there is x acquisition activity that pops up, great, but we are not going see that probably until the third calendar quarter if there is something. And I would like to make the point as we kind of talked around it, but when you look out really what’s the bottom line here, I guess we had an event, which is the collapse of the crude oil spread that have impacted one of our quarters, but this is really a great example of why having four businesses lower our business risk we feel that we had a hiccup in the quarter in one business, but we had two of our other businesses that we’re able to pick up the slack. With our really strong balance sheet, a hiccup here $10 million to $20 million in a business for the year is less than 5% of our EBITDA. And that’s one of the reasons we keep our balance sheet at such a low leverage level and we are still below three times on our leverage. So, I just want to make sure we keep in a perspective and then as you know a couple of weeks ago at our board meeting we raised a distribution, but we also came out and increased our guidance to 15% distribution increase over the next 12 months. So, we just don’t want to be we want to be alarm this isn’t something that’s going to happen all the time there is a specific event that occurred and now it’s behind us. Alright, let’s move to next.
Operator: Our next question comes from the line of Adam Slate from RBC Capital Markets.
Mike Krimbill: Hey Adam.
Unidentified Analyst: Hey good afternoon. This is actually Jeff (indiscernible) on for Adam. I think both of our questions have been answered, but just a couple here on Crude Logistics maybe we can drill down on Gavilon you said $4 million per the quarter EBITDA, can you quantify the volumes related to Gavilon and is there any difference versus legacy assets in terms of margin or economics?
Mike Krimbill: Dave.
David Kehoe: I mean I’ll start off real quickly, and that is Gavilon also has an ethanol, biodiesel and refined fuels business, which we really like and we’ve recently spend some time with the gentlemen running those businesses. So, that’s a little different than what we had. Those are really we think attractive businesses, albeit they’re small at the current time. With respect to crude oil, David any thought on volumes and margins?
David Kehoe: Well historically we try to keep our margins more internal. I guess in a broad sense the Gavilon volumes historically are higher, margins lower than what you would say legacy NGL, on a go-forward basis the consolid0ated groups are looking at what’s the avails in business out there. So I still just go back to our forward-look is very much continue to grow volumes, we should grow at or greater than the rate of production and margins will be in a historical range.
Unidentified Analyst: Okay, great. Thanks. That’s helpful. That’s it from me.
Operator: Your next question comes from the line of Michael Blum, Wells Fargo. Please proceed.
Michael Blum – Wells Fargo: Hi, thanks. My questions were asked and answered. Thank you.
Mike Krimbill: You’re very patient, Michael.
Operator: (Operator Instructions) Your next question comes from the line of David Askew with Wunderlich Securities. Please proceed.
David Askew – Wunderlich Securities: Hi guys.
Mike Krimbill: Hey David.
David Kehoe: Hi, David.
David Askew – Wunderlich Securities: Just wondering what sort of progress you guys might be having in discussions with producers on integrated services for the water and the crude business?
Mike Krimbill: That’s a good question, David.
David Kehoe: Sure. We’re moving that strategy forward trying to think of how to give you a specific example. We have three different producers that I can think of right now that are customers of each of the three divisions that we’re now looking at doing one of the other. For example crude logistics has two customers that are now visiting and talking to the water group about being able to tie up together. So we’re executing on that strategy, I’m trying to think of how to answer that clear for you. The short answer is we have the liquids, water and crude group with half a dozen primary customers ranging from producers to refiners that we are trying different services together with that same customer from organic projects to commercial logistical movement.
Mike Krimbill: David, but one thing…
David Kehoe: I answered that as well as you might have liked, but I can’t speak to specifics of…
Mike Krimbill: David, I’ll just maybe just mention that here recently we have changed our –I guess the face of the company to our customers because we felt like we were operating under different names. And so we have changed the different business to a NGL, crude logistics NGL, water solutions and NGL liquids. So now our customers realize they’re dealing with the same company and we’re going back to them and new ones with all of our services. It’s certainly on the crude water side makes a lot of sense to build. If you’re going to put in the crude line, gathering line you ought to put water in the same ditch. So we’re – I think we’re getting traction there. Any other thoughts, David?
David Kehoe: Well again I mean even with respect to the liquid side there is we are actively putting into practice the concept that we’ve talked about that, producers have all of our segments fit, all of the larger producers. And so we will be announcing over the course of fiscal 2015 some projects that we put together at crude, water and or NGLs all within the same bundle going to a producer.
David Askew – Wunderlich Securities: Yes, thanks guys. That’s helpful. It sounds pretty powerful especially on the competitive landscape in those businesses. I guess a little bit further on crude. What are you guys doing maybe to source more heavy crude or grow the sourcing of heavy crude to the extent that it’s not – are we directly sourcing it for the Gavilon business?
David Kehoe: Well, we are definitely moving heavy crude. We’re actively expanding our Canadian presence and our asset infrastructure as well as our focus is on the heavy crudes and bringing them into the Gulf Coast.
David Askew – Wunderlich Securities: Okay. And then I think bigger picture kind of just ducktails with some of the previous questions on where we’re going with the crude business and future acquisitions. As you guys have sort of taken some time to look at the assets integrate them. Are there some obvious pieces you need from a regional standpoint, I know you have sort of – you closed the liquids pipeline and storage assets. But do you feel like you need more of a presence in any certain region?
David Kehoe: The – again the Canadian region is where we’re actively trying to expand our presence and become a much larger force. I think with respect to the Rockies, the Mid-Continent, Permian, South Texas, Louisiana, Gulf Coast regions we’re very happy about where we’re at and what we’re doing in the game plan if we had an area that we’re needing to expand further it is in the Canadian segment.
David Askew – Wunderlich Securities: Alright. Thanks guys. I appreciate it.
Operator: That concludes our question-and-answer session. And now I’d like to turn the call back over to Mr. Mike Krimbill. Please proceed.
Mike Krimbill: Great. Thank you very much. You’ve been pretty intended since this has been our longest call. So I guess if we be budget by a lot that is even shorter. But thanks again and we’ll talk to you next quarter. Bye.
Operator: Ladies and gentlemen, that concludes today’s conference Thank you for your participation. You may now disconnect. Have a great day.